Operator: Thank you for standing by, and welcome to the GTN Limited H1 FY '26 Financial Results Conference Call. [Operator Instructions] I would now like to hand the conference over to Mr. Vic Lorusso, the CEO. Please go ahead.
Victor Lorusso: Thank you, and thanks, everyone, for joining us today. I want to start by being direct. The first half of FY '26 was a tough period for GTN and our results reflect that. But it was also a period where we made some hard necessary decisions to reset the business for the future. Market conditions remain challenging, particularly in our key markets, but rather than waiting for conditions to improve, we've taken decisive action on costs and our affiliate arrangements and on how we go to market. I'll come back to that shortly. But first, let me hand over to Ben Brooks, our Chief Financial Officer, to take you through the financials.
Ben Brooks: Thanks, Vic. I'll take you through the numbers for the half, which as highlighted by Vic, was a tough 6 months, particularly in the first quarter. Financial performance. Revenue came in at $82.5 million and adjusted EBITDA at $5.8 million, down 15% and 53%, respectively, on the prior corresponding period. The first quarter bore the brunt of the market pressure. And while that's not where we want to be, conditions did stabilize as the half progressed. We also recognized a noncash impairment charge of $41.5 million during the period relating to our Australian and U.K. businesses. This reflects a pragmatic reassessment of near-term forecast given the macroeconomic environment in those markets. It's a noncash item and has no bearing on our day-to-day liquidity. Capital management and shareholder returns. Despite the revenue challenges, we've kept a tight focus on cash. Cash on hand increased to $28.1 million at 31 December, up from $21.1 million at 30 June. Underpinning this is $16.5 million in net operating cash flow, a significant improvement from the negative $2.8 million in the prior corresponding period. During the half, we also returned $43.9 million, $0.23 per share to shareholders via a return of capital paid in August '25. Net debt sits at approximately $7 million, which is manageable and a function of that capital return. We're comfortable with where we sit on the balance sheet. Interim dividend, the Board has declared an interim dividend of $0.01 per share, unfranked. We're pleased to be able to do that given the operating environment, and it reflects the Board's genuine confidence in the underlying strength of the business. The Board is committed to further shareholder returns. We will continue to pursue further returns as conditions allow. I'd like to hand back to Vic.
Victor Lorusso: Thanks, Ben. So what are we doing about it? Well, I want to walk you through 3 areas, where we've taken decisive action. First, as Ben mentioned, costs. We've targeted annualized cost out for FY '27 of $12 million to $17 million, and we're making some real good progress. On affiliates, we've renegotiated significant arrangements with the majority of our $7 million to $9 million annualized target already executed effective January 2026, a meaningful step. On aviation, we've exited those operations entirely. That decision will deliver approximately $3 million to $5 million in annual savings from the second half onwards. And the sale of the helicopters will bring in around $5 million in cash proceeds this financial year, most of which has already been received in early 2026. And on operating costs more broadly, we're driving efficiencies through AI, comprehensive cost reviews and improved sales systems with an expected $2 million to $3 million in annualized savings being realized progressively through the year. Second, market repositioning. We're changing how we go to market, really focusing on direct client relationships, making better use of our unsold inventory to improve margins and working with agency partners to access new client pools. Now these initiatives are already underway, and we expect the benefits to build through the second half. Third, our strategic priorities. Everything we're doing ties back to 3 things: strengthening our core affiliate partnerships, delivering a compelling proposition to our advertising partners and actively managing costs through technology, including AI. So before I open the floor to questions, I'd like to acknowledge Peter Tonagh, our Chair, along with our Board and our shareholders. Thank you for your continued support and guidance. We value the trust you place in us, remaining focused on delivering improved performance and long-term value. I'd also like to recognize our GTN team across all markets, particularly our country heads for their leadership on the ground. It's been a period of change, and our people have remained focused, committed and professional throughout. Strong local execution is critical to our success, and we appreciate the accountability and drive shown across the business. While I'm relatively new to the GTN CEO role, but having been part of this business for over 25 years, it gives me confidence in the direction we're taking. We have strong Board and shareholder alignment, experienced country leadership teams and a clear plan that we're executing against. The second half of FY '26 is where you'll start to see the benefits of the work done in H1 come through. With that, we're happy to open the floor to questions.
Operator: [Operator Instructions] Your first question comes from John Burgess with RaaS Research.
John Burgess: I'm just interested if there's been any sort of change in the affiliate relationship agreements post the Southern Cross merger with Channel 7.
Victor Lorusso: No, not with the merger Channel 7-SCA agreement. That was obviously a long-term agreement, but no, not in relation to that affiliate.
Operator: [Operator Instructions] There are no further questions at this time. I'll now hand back to Mr. Lorusso for closing remarks.
Victor Lorusso: Thank you. Again, thank you for your continued support, shareholders, and we look forward to delivering the second half. Have a great rest of your day.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.